Operator: Good day, and thank you for standing by. Welcome to the WSP Global Fourth Quarter and Fiscal 2025 Results. [Operator Instructions] Please be advised today's conference is being recorded. I'd now like to hand the conference over to your first speaker today, Quentin Weber, Investor Relations. Please go ahead.
Quentin Weber: Thank you, Sarah, and good day. Thank you for joining our call. Today, we will discuss our Q4 2025 results and performance, followed by a Q&A session. Alexandre L'Heureux, our President and CEO; Alain Michaud, our CFO; and Chadi Habib, our CTO, are joining us this morning. Please note that this call is also accessible via webcast on the website. During the call, we will make forward-looking statements. Actual results could differ from those expressed or implied. We undertake no obligation to update or revise any of these statements. Relevant factors that could cause actual results to differ materially from those forward-looking statements are listed in our MD&A for the quarter ended December 31, 2025, which can be found on SEDAR+ and on our website. In addition, during the call, we may refer to specific non-IFRS measures. These measures are also defined in our MD&A for the year ending December 31, 2025. Our MD&A includes reconciliations of non-IFRS measures to the most directly comparable IFRS measures. Management believes that these non-IFRS measures provide useful information to investors regarding the corporation's financial condition and results of operation as they provide additional critical metrics of its performance. These non-IFRS measures are not recognized under IFRS, do not have any standardized meaning prescribed under IFRS and may differ from similarly measures reported by other issuers and accordingly, may not be comparable. These measures should not be considered as a substitute for the related financial information prepared by IFRS. With that, I will now turn the call over to Alexandre.
Alexandre L'Heureux: Thank you, Quentin, and thank you all for joining us today. This quarter marks the end of a year of strong execution for the company. In early 2025, we unveiled a 3-year strategic plan called Pioneering Change for Empowered Growth. We completed strategic acquisitions, including Ricardo and TRC and delivered margin improvements with organic growth and strong cash flow generation. Let me highlight key points relating to our performance for the fourth quarter and the year 2025. First, as outlined on Page 5 of the investor presentation, Net revenue organic growth for the quarter stood at 5.9%, when excluding the impact of much lower volume of emergency response services in the U.S. versus the prior year and revision to significant projects in Canada in 2024. For the year, net revenues reached the high end of our outlook. And referring to Page 5 again, we delivered strong performance with combined mid- to high single-digit organic net revenue growth in Canada, the Americas, EMEIA, while the APAC regions continued to improve throughout 2025. Celebrating the first year of POWER Engineers under WSP, we are also very pleased with the company's performance with organic growth in the mid-teens in 2025. Second, on profitability, adjusted EBITDA for the year exceeded the high end of our revised outlook range for the year. We continue to execute on our margin expansion journey, delivering approximately 40 basis point improvement for the year. Third, I'm especially pleased with our cash performance. We delivered a record high free cash flow of $1.7 billion in 2025, representing 1.8x net earnings attributable to shareholders and significantly exceeding our 100% conversion target. Additionally, DSO at year-end stood at a record low level of 63 days, well below the lower end of our outlook. Before I turn to 2026, let me state how excited I am about welcoming TRC, a premier U.S. power and energy brand founded in 1969, long recognized for technical excellence and one of the most significant players in the U.S. with approximately 8,000 professionals. This combination will supercharge our Power & Energy sector by expanding our offerings across the entire value chain, adding amongst others, significant advisory, digital and program management capabilities and providing unmatched leadership in the U.S. Now turning to 2026. Let me start by saying that we entered the year with more optimism and confidence than when we entered 2025. This statement is supported by a few key factors and our strong outlook for 2026. First, with the closing of TRC and the recent acquisition of POWER Engineers, we have deployed approximately CAD 7 billion over the last 15 months in the high-growth, high profitability Power & Energy sector, making us the leading pure-play firm in that space in the U.S. and globally. Second, the market trends continue to provide a strong tailwind and demand for our services. Governments around the world continue to spend extensively on infrastructure, mass transit, airports, ports, water and environmental services, data centers, health care, power generation, transmission, distribution, and we expect the demand for our services to be robust in 2026. Third, and to complement my comments on market trends, we have finished the year 2025 in better shape than we started. The proposal activity level is strong across the business and our backlog, master service agreement and sub backlog are growing steadily. Let me now give you a few comments on our regions, further supporting our sentiment about 2026. Starting with Canada, we expect the region to remain an important growth driver in 2026, supported by strong market fundamentals and federal strategic investment that will all contribute to an already healthy backlog, which grew by 13.5% in 2025, an equally strong pipeline of opportunity in the year ahead. We are well positioned to execute on the broad mix of mandates with major clients such Hydro-Quebec, Toronto Hydro-Electric, Rio Tinto, Ontario Power, Agnico Eagle Mines while continuing to capitalize on significant transportation assignments, including our role on the Bradford Bypass expressway project and the recent announcement of the federal government and defense. With that foundation, Canada is positioned to deliver solid performance with mid- to high single-digit organic growth expected in 2026. In the Americas, we expect strong growth in 2026, supported by robust activity across the U.S. We are very pleased with the closing of the TRC acquisition on Tuesday this week, which combined with our existing Power & Energy business offers continued high growth, high profitability potential in the sector, which now represent approximately 1/3 of our U.S. presence. Overall, our sentiment towards our U.S. is positive. Our hard backlog stand at approximately 10 months of revenues, and our sub backlog amounts to approximately $8 billion, of which 85% comes from MSAs and framework contracts. Our pipeline of opportunities is also trending positively, up approximately 15%, 1-5, I said, versus last year. We continue to strongly focus on our global client program, which is developing a healthy pipeline of opportunities, up more than 50% versus last year. Of interest, our win rates increased by approximately 10% year-over-year, especially on top opportunities with the highest impact, reflecting a clear focus on securing high-quality needle mover mandates. We also see AI and cloud infrastructure as a durable multiyear tailwind. Here, our global footprint and breadth of services are positioning WSP as a preferred partner, notably for campus master planning, permitting, design and data center delivery. According to the most Engineering News-Record Global, Sourcebook, WSP holds the #1 position globally in data center design. Separately, in Latin America, the mining industry is providing healthy growth opportunities as well. Overall, the Americas is positioned to be a key contributor with mid- to high single-digit organic growth expected in 2026. Moving to EMEIA. We expect the region to continue contributing solid growth in '26. supported by healthy backlog and ongoing demand across priority markets, specifically in the U.K. Our pipeline of opportunities is also growing significantly, representing an increase of more than 25% since the beginning of 2025. Book-to-burn in the U.K. ended above 1, even as the regions delivered robust growth. Our win rate increased by about 25% versus '24 with new work secured in energy, water and defense, in line with our strategic ambitions. Our global client program also demonstrated success in the regions, especially in energy and more specifically, in the transmission space in electric and gas. Our backlog is supported by a steady flow of mandates, including major programs with National Grid in the U.K., recent win with EirGrid and EFG Energy in Europe and a growing backlog in the Nordics. With healthy momentum across the regions, EMEIA is well positioned to deliver continued success in the year with mid-single-digit organic growth expected in '26. Turning to APAC. We continue to see improving market condition in '25 and healthy backlog growth, especially in Australia and New Zealand, and our focus is on a return to growth as we progress through the year. We are entering '26 with tangible catalysts, including the Sydney Metro West Linewide contract, the Anderson precinct infrastructure mandate in Western Australia and momentum in New Zealand under the Roads of National Significance program. Taken together, the pipelines in Australia and New Zealand support a gradual return to organic growth in '26, and we expect APAC to provide an improving contribution to overall performance as the year progresses. In summary, we are confident about '26. And just after the first year of our 2025, 2027 strategic cycle, we are already on track to meet or exceed several of our '27 targets. This early progress reinforces our confidence in the strategy, the strength of our platform and our ability to deliver leading financial performance across the cycle. With that, I will now turn it over to Alain, who will talk you through our financial results and our 2026 outlook in more detail.
Alain Michaud: Thank you, Alex, and hello, everyone. I'm pleased to report on our strong financial results marked by several achievements. Let me start with the top line. For the fourth quarter, net revenue displayed a solid performance and healthy underlying fundamentals. As Alex mentioned earlier, the organic growth for the underlying business in 2025 brought us to the high end of our financial outlook range provided in early '25. For the full year, revenue and net revenue increased by 13% and 15%, respectively, compared to 2024, growing to $18 billion and $14 billion, respectively. Canada, the Americas and EMEIA delivered a solid performance, and APAC is showing positive sequential increase in results. Backlog reached a record high of $17 billion, up 10% in the last 12-month period. Our pipeline of opportunities is strong as evidenced by Alex earlier. Moving on to profitability. Adjusted EBITDA for the quarter was $694 million, up approximately 9% compared to Q4 2024. Adjusted EBITDA margin stood at 18.9% from 18.7% in Q4 2024, driven by continued productivity gain. For the full year, adjusted EBITDA grew to $2.5 billion, up 17% compared to $2.2 billion in 2024. Adjusted EBITDA margin increased to 18.3%, up approximately 40 bps from 2024, in line with our strategic ambition. Of interest, we absorbed in our margin rightsizing and restructuring costs incurred to further strengthen our business, which reduced our margin by approximately 40 basis points. Accordingly, our margin growth in 2025 is actually 80 basis points. Adjusted net earnings in the quarter reached approximately $346 million or $2.65 per share, up 14% compared to the fourth quarter of '24. The increase was mainly attributable to higher adjusted EBITDA. And for the full year, adjusted net earnings reached $1.25 billion or $9.58 per share, up 23% and 19% from '24, respectively. As for our cash position, I'm very, very pleased with our cash flow generation in '25. Cash inflow from operating activities increased to $2.25 billion in '25, an improvement of $865 million versus '24. Full year free cash flow totaled $1.7 billion, representing 180% of our net earnings attributable to shareholders. This strong outcome reflects our ongoing focus on working capital management and optimization under our new ERP platform. DSO stood at 63 days as of December 31, 9 days lower than at the same time last year, marking a record low level. Net debt to adjusted EBITDA ratio was at 0.9x, slightly below our target range of 1x to 2x. The decline in our net debt to adjusted EBITDA reflects the higher cash balance from common share issuance, which has been used to fund a portion of the TRC acquisition. And following the closing this week, our pro forma net debt to adjusted EBITDA ratio stands at approximately 2.3x. As part of our ongoing review of our operation, we have disposed of a few non-core businesses in the last 12 months, including an underground storage business in the U.S. and our rail business in Germany. We have also, in the same context, discontinued operation in various areas in Asia and EMEIA notably. These activities represent approximately 1% of our 2025 net revenue. Regarding our ERP deployment, platform adoption continued its upward momentum in 2025 and early '26 with POWER Engineers now onboarded on the platform as of Jan 1, '26. We now have accordingly 80% of our EBITDA on a new platform with key regions to be onboarded in '26, including Australia and New Zealand next week, Sweden, Central Europe and the Ricardo. With a significant portion of our deployment completed, we are gradually increasing our focus on optimization, automation and deep business insights to enhance scalability and financial performance. Turning to our '26 outlook. We expect net revenue to range between $16 billion and $17 billion, which represents a total growth in net revenue of over 18% at midpoint of the guidance, adding $3 billion of net revenue in one single year. Also, as you assess our guidance, please keep in mind the recent disposal we just completed in the U.S. and the annualization impact of our various disposal and discontinued operation of '25, which had an impact of approximately $150 million on net revenue. We also expect EBITDA to range between $3 billion and $3.18 billion, which represented a growth of 21% versus '24 and both calculated at midpoint. Organic net revenue growth is expected to range between 4% and 7%. At midpoint, our EBITDA target range, we expect to deliver 40 basis points of margin improvement in '26. We expect Canada and the Americas to deliver mid- to high single digit, EMEIA to deliver mid-single digit, and APAC to deliver stable net revenue versus '25. For Q1 '26, we expect net revenue to range between $3.575 billion and $3.775 billion and adjusted EBITDA to range from $590 million to $630 million. From a modeling perspective, Q1 '26 is expected to have fewer billable days, which is expected to have an impact of approximately 1.5% on organic growth with offsets taking place in Q2 and Q4 '26. Emergency response services in the Americas reportable segment are expected to be consistent with the historical average level of inspection. And I would like to remind you that this outlook is intended to help analysts and shareholders refine their perspective on our performance, and it's been prepared in light of current foreign exchange rate volatility and our full year assessment, including our hedging posture. And also, our selected financial outlook does not include any acquisition transaction or disposal that may occur after today. The financial outlook includes a contribution from recent acquisitions, notably TRC and Ricardo. And on that, back to you, Alex.
Alexandre L'Heureux: Thank you, Alain. To sum it up, we are confident in our 2026 outlook and the opportunities ahead. We entered the year from a position of strength. We run a resilient and diversified platform. We have a healthy backlog and pipeline of opportunities, and we remain focused on quality growth, operational efficiency and disciplined capital allocation. Today, I also wish to take a few moments with you to provide context on the topic that's top of mind for many of our investors and analysts. The rise of AI address the many speculative research reports being published almost daily and specifically its implication for WSP. While we acknowledge market sentiment, we feel clarification and perspectives are needed. In recent months, many actors have painted all professional services firm with the same AI brush, worrying that we are entering an era where advanced AI will replace firms like WSP. WSP recent share price performance was not immune to that sentiment. Artificial intelligence is changing the way we all work, and WSP is proactively embracing it as a productivity enhancer, but more importantly, as a value driver for clients. First, let's contrast WSP's business model with other consultancies and industries. Lumping all industries together is, in our opinion, an inaccurate way of considering the impact of AI. Our 83,000 experts design and manage complex physical projects, including bridges, transit systems, water treatment plants, energy facilities, environmental remediation and so much more. This work inherently involves the real world, physical material, on-site construction supervision, safety critical decisions, regulatory compliance and public stakeholder engagements. It represents service work that blends advanced domain expertise, inherent know-how, technical analysis, field execution, and professional judgment along with massive amounts of proprietary data, knowledge and experience that is not publicly available. In contrast, other industries to which WSP may be compared to largely operate in the virtual sphere. For instance, software-focused companies, organizations specializing in business process management and system integration. Their core activities typically center on programming, configuring systems, handling data and streamlining workflows. Much of their code, operational processes and consulting frameworks are accessible to advanced AI models. These distinctions are crucial when discussing AI impact and exposure. Large language models today are far better at automating digital, virtual and repetitive tasks such as coding, data entry and document generation that are performing deterministic tasks and providing guaranteed correctness in the physical world. In the engineering world, that simply cannot occur. Now let's discuss why scale and domain expertise matter. Our competitive moat is built on profound expertise in the physical sciences and engineering, coupled with decades of proprietary intellectual property and design standards and best practices that are not publicly accessible. Additionally, our professional accreditation, legal standards and obligation foster a high level of trust and establish significant barriers to entry. Projects often require collaboration with public agencies, communities and countless stakeholders while WSP reputation and relationship are crucial. In fact, technology often complement our services. Let me now delve into 3 aspects of our services where our scale and deep domain expertise set us apart and provide significant advantages. First, on the human expertise and the physical world front. Every project WSP tackles is unique. Today, WSP is the largest platform globally in its industry with the highest level of diversification and expertise. WSP works on 250,000 live projects, each different. Whether it's a transit line or coastal erosion protection program, our work is fundamentally rooted in understanding countless local and physical variables, geotechnical constraint, site conditions, materials, vibration, seismic factors, climate, community priorities, safety regulation, even politics and historical context. We must earn social license by engaging with communities and stakeholders, holding town halls, consulting indigenous partners and addressing public concerns. No algorithm can navigate city politics and replace these human dynamics. And AI can negotiate with the city council and a construction permit, and it certainly can take accountability in front of a professional board if something goes wrong. These are unique WSP roles that define our leadership. Second, every site and project is unique. By nature, infrastructure environmental projects don't lend themselves to one-size-fits-all solutions. We can't simply feed a prompt into a computer and get a turnkey design for a new highway interchange or climate adaptation plan, because the answers depends on the specific terrain, traffic patterns, stakeholder inputs, regulatory reviews, river flows and hundreds of other factors that most of the time, AI models do not have access to. In practice, our engineers must continuously adapt, be agile and use judgment. Unlike AI, they do not simply predict the most likely output based on data patterns. If a geotechnical survey reveals unexpected soil condition, something that AI models do not have access to, we redesign the foundation. If stakeholders raise concerns about a heritage site, we adjust the project plan, and if needed, collaborate on a redesign to protect what matters to the communities. Again, this type of information is not accessible in the database. AI can assist and support with scenario analysis, stress testing. For example, scanning through geotechnical data or suggesting design optimization, assuming the quality of the data is reliable, which is often, not the case. What it does not have is the situational awareness or mandate to make judgment calls. WSP does. Our expert combine technical data, sometimes with AI assistance with on-the-ground observation and stakeholder dialogue to get it right. This is why we say AI augments our capabilities, but is not a decision-maker in our field. It's an enabler to our expert, not a replacement. And third, safety and accountability are simply not negotiable in our industry. Our projects often involve public safety in a very direct sense. We must comply with building codes and environmental laws that differ from jurisdiction to jurisdiction. License engineers are those who can certify that a design meets all those specific codes and can be built safely. This is not just a policy, it's the law and the core value of our profession. AI-generated outputs are always subject to rigorous human oversight, thorough quality control and professional accountability. Our clients require us to stand behind our advice and design with substantial professional liability insurance and the financial strength of a strong balance sheet. Our machine in the middle approach means that while AI can support design or reports, our engineers review, validate and take responsibility for every outcome. This approach ensures we harness AI efficiency and applied strict quality management and risk oversight. To make this even more tangible, let's consider a few actual WSP projects and how they illustrate the indispensable human element in our work with AI as an enabler, not a replacement. The Eglinton Crosstown light rail transit in Toronto, Canada is a 19-kilometer light rail line we've been helping deliver through the heart of Canada's largest city. Think of the complexities, coordinating with city officials on permits, relocating utilities, managing traffic disruption, engaging local communities and businesses, ensure safety and dense urban construction and meeting rigorous city building codes. We do use digital twins and simulation models, some with AI components to optimize the design and construction schedule, but all those models are overseen by experienced professionals who know how to interpret the results and make judgment calls. The project has strong curve balls. For instance, unexpected soil condition only discovered on site had to be considered and our team had to quickly redesign support structure. Also, the Interstate Bridge Replacement in Oregon, Washington, U.S.A. is another project worth highlighting. WSP is a program manager for replacing a complex agent highway bridge between 2 states. Here, the challenges include navigating 2 states, regulatory regimes and federal approvals, designing for seismic resilience in a high earthquake zone and conducting extensive stakeholder engagement across multiple cities and transit agencies. We have, again, a digital model of the bridge that uses machine learning to stimulate -- to simulate traffic and structural performance under various scenarios. That's AI at work. But again, the use of that tool is led by our bridge engineers who ensure the design meets all safety margins and serve community needs. Importantly, our roles involve bringing together dozens of stakeholders, including state DOTs, transit authorities, federal regulators, port authorities and local communities to forge consensus on the solution. No AI negotiator is going to do that for WSP. It takes experienced professionals with years of cultivating relationship and fostering trust to work through concerns and requirements. I could go on. The story is similar in projects after projects. Engineers and scientific consulting in the physical world is fundamentally a domain expertise, a human creative and interactive endeavor. Consider the market drivers around us. The world is investing trillions in infrastructure renewal, energy transition and climate resilience. Those drivers are increasing demand for our deep domain expertise and scale. In fact, they often create complex problem that feed into the need for services. Governments are funding massive infrastructure and clean energy programs here in Canada, in the U.S., in Europe and in Australia, and those projects require exactly the kind of high-end consulting WSP provides. We don't see that demand diminishing due to AI. If anything, clients want to know how to incorporate AI and smart technology into their infrastructure, and they turn to us the domain expert for support and assistance. By leveraging digital and AI solution to augment our engineering and science expertise, we help clients achieve significant value through the asset life cycle, beyond the front-end advisory, planning and design phase, which is usually accounts for 5% of our project total cost. Again, it is important to note that for most of our clients, the decision made in the first 5% design phase have a massive impact on the remaining 95% of the cost of their assets, making it an area where investment and innovation continue to grow and be very strategic. The takeaway is clear. We're not complacent about technology impact. Instead, we are embedding digital and technology tools throughout our operation and client solutions. We fully expect that some task in design and consulting will be automated, and that is a very good thing. To the question, can AI design an asset on its own? The answer is no. AI can help with preliminary sizing and drafting, parametric optimization, code lookups, scenario generations, but it cannot guarantee compliance, verify safety, carry legal liability, produce deterministic proofs, ensure physical correctness, explain every step with guaranteed traceability, sign, seal the drawings, engage with the physical world and all stakeholders. As we are suddenly going from AI euphoria to AI hysteria in our space, let me leave you with a few key messages. First, I want to reassure everyone that the fundamentals and the market trends fueling our industry are intact and AI is a fantastic opportunity. We expect more work and we can now, for example, further leverage data through AI and digital enablers and generate more value for clients throughout the full life cycle of an asset. And with more value to our clients, we expect more value to our shareholders. Keep in mind that 1/3 of our platform benefits from the AI tailwind, including in the Power & Energy business, data centers, mining and advisory -- digital advisory that -- and these businesses are growing at double-digit rates right now. Second, our work is inseparable from the physical world. We all remember that. Third, our work relies on domain expertise and knowledge that is not readily available in the public domain, creating a significant barrier to entry. And fourth, scale matters to fully and safely leverage AI in a world of high stakes, complexity and uniqueness. Lastly, AI does not displace our work, it augments it. AI is probabilistic while our clients are expecting engineers and scientific -- scientists to be deterministic. It's a matter of safety and the stake are too high. We are super excited for WSP, its engineers and scientists. We see it as an opportunity because at WSP, we are not writing a single solution and selling it 1 million times. We are solving 1 million unique problems with bespoke solutions for each client, each site across 250,000 live projects. I would now like to open the line for questions.
Operator: [Operator Instructions] We'll now take our first question, and this is from Yuri Lynk from Canaccord Genuity.
Yuri Lynk: Just a follow-up, Alex, on AI. Can you talk a little bit about the AI, the partnership you launched with Microsoft almost, I guess, exactly a year ago. How that's evolved over the last 12 months?
Alexandre L'Heureux: Yes. I think I've been talking a fair bit, Yuri. So I'll take a breather, and I'll turn it to Chadi, but in a nutshell, we're extremely pleased with the headway that we've made. And Chadi, perhaps you can talk about this partnership and the other ecosystem partnership that we have signed in the last 12 months.
Chadi Habib: Happy to do that. Thanks, Alex. Good morning, everyone. Let me start off on the Microsoft [ our second ] year into it. We had 3 big objectives: enable one of the largest agentic and AI deployment for our frontline to make sure that they are front and center on how they use this stuff responsibly to deliver to clients, that is exceeding expectations today; number two objective of the partnership, is continue to work with Microsoft as a client in their data center objectives and that is also beyond our target for 2025. We closed out the year really well and are very positive in the pipeline going forward; and last but not least, if you remember, we had an ambition to co-create products, not just with Microsoft, but with what we call client zeros, where we co-create the future with digital and AI with clients to solve tangible problems. Two of our solutions have gone into production now with 4 clients, and we're looking for a general availability release in March. So very, very positive for Microsoft. But let me add, and this is part of our strategy. We talked to you about this about a year ago. Our approach is ecosystem. So beyond Microsoft, we've talked to you about start-ups that are innovating. So I'll give you some names about UrbanLogiq, Fathom. We're also working with other companies at scale. You would have -- you may have heard recently, we announced a very targeted partnership with Google in the transportation space. We're looking at offerings with Schneider in the Property & Building space, and we'll continue to expand. There's about 4 or 5 other discussions that are in progress essentially.
Yuri Lynk: Okay. That's helpful. And maybe just expand a little bit on the data center work with Microsoft. I think they're looking at spending tens of billions of dollars on data centers. That's work that -- I guess you're a preferred supplier, you still have to bid on that work, but maybe just expand on how significant or not that is at this point?
Chadi Habib: Just to clarify there. Microsoft is not the only hyperscaler that is our clients, right? So the tailwind for us is across all of the major hyperscalers, we're not exclusive with them. Having said that, across the board, every single one of the hyperscalers, as Alex mentioned, we're looking at double-digit growth in the mission-critical space because the demand, frankly, is beyond the capacity of the talent in the market and what's exciting. You'll hear this a lot from me in the coming months. What's exciting by the AI, it allows us to do things we could not do before and have more opportunity to serve the clients. So the -- to answer your question on Microsoft, we have a specific objective in the alliance, and we're tracking to the objective as the contract progresses as one of their preferred supply.
Alexandre L'Heureux: And to be more specific, Yuri, there are many instances because of this partnership with Microsoft, where we are sole source and we don't have to bid for the work, obviously, because of our strategic -- being the engineer of choice with them.
Operator: Next question today is from Devin Dodge from BMO Capital Markets.
Devin Dodge: Yes. Alex, just thanks for the perspectives on AI. It's really helpful. Not surprisingly kind of sticking with the AI theme here. And maybe picking up on the last -- one of the last questions. But look, there's multiple AI start-ups looking to make inroads into the engineering consulting sector. I suspect you actually have dialogue with many of them. But WSP elected to go down the path of developing these tools internally and via those partnerships that Chadi just talked about. Just wondering if you could talk about the decision to build versus buy and why building was the right path for WSP.
Alexandre L'Heureux: Before I turn to Chadi, I think it's a very good question. And to us, the AI strategy is part of a broader digital strategy. So for us, AI is only a subset of our overall strategy, and I'm pretty sure over the course of this call, we'll have an opportunity to briefly talk about our digital posture. But I think over time, the answer is it's going to come broadly, again, from organic growth, obviously, and we have been doing that from strategic partnership that we are going to continue to sign. If you recall in February of last year, when I unveiled the plan, I said expect WSP to announce and sign more ecosystem partnership. We think it's a great way to go. But as part of our broader digital strategy, I also said last year that, yes, you should, at some point in time, expect some acquisitions because it's a muscle that we're learning to flex right now and have been over the last 2, 3 years. So perhaps, Chadi, you want to complement what I said.
Chadi Habib: Yes, I'd just like to also take a moment to just remind the 3 aspects of the digital posture, what Alex just mentioned. So number one is start with the clients, focus on the value that it creates for clients and proof point it with revenue. So that's our first aspect. The second lever of our digital strategy, and I'm going to answer your question in a second, is put it in the hands of our front line because why is this an exciting time for all of our engineers and scientists. Just like they've seen some massive evolution in the way they work with clients, this is another massive evolution that allows them to drive a lot more value to our clients. This is why we have one of the largest deployments across our industry in terms of putting it in the hands of the front line and investing in our proprietary models. The third aspect is ecosystem partnerships. And yes, they are both with large and smaller firms. I do want to highlight to you that for the small firms, one of the most valuable aspects, Alex touched on this, is domain expertise at scale. I think you all know this. These models compound with knowledge, knowledge across projects, geographies and volume. The start-ups do not have that. We actually get more calls from start-ups because of our access to that domain expertise than we approach them. So we are working with several. We have a non-negotiable, which is protecting our IP. And what you've seen from our announcements like UrbanLogiq and Fathom is we'll work with the ones that are willing to work with us on protecting our domain expertise while driving value to our clients. And in another cases, we're building internally our own proprietary models that are -- that will remain within our parameters so we can retain that IP and the value we bring to our clients.
Devin Dodge: Okay. That's excellent color there. Second question, just wondering if the push to develop more AI tools and capabilities. Does that have much or any impact on your strategy for complementary resource centers? I'm just trying to get a sense of leveraging AI puts a bit less stress on the talent pools in your regions such that more work can be done locally.
Alexandre L'Heureux: Well, my straight answer straight up answer to this is for as long as we remember. And you will recall all of you on the line today, numerous occasions where we had discussed the fact that there was a war on talent. Sometimes life is done in a certain way and it's natural evolution. I mean, there are many instances and many places in our business where we don't -- we are not in a position to recruit as fast as we would like to do it. Thus enhance the GCC strategic initiatives that we've put in place 10 years ago. But you look at Power & Energy sector right now, we are not in a position to recruit at the pace that we would like to recruit. So in that regard, the assistance of our GCC is paramount and also the assistance of technology is paramount for us to do more with less. So that's why we believe that technology augments our work. It's not displacing it and why we are feeling good about the future prospect of WSP in that regard.
Operator: Next question today is from Ian Gillies from Stifel.
Ian Gillies: Alex, I was wondering if you could talk about the interplay between revenue per employee, AI and I guess, the revenue model that you currently employ and how you see that evolving over the next 24 to 36 months or maybe not evolving at all because you're clearly comfortable with the way it is.
Alexandre L'Heureux: Yes. Let me try to [ rebuke ] a bit of a couple of themes and points that you just mentioned. First and foremost, if you look back -- and I mentioned that in past analyst calls, if you look back the last decade, you look at the fee per employee that we have been generating in the last decade and you go back, whatever, 2015 or '16 and you fast forward today, and this is all publicly available information, you'll find that we have been increasing our fee per employee steadily over the last 10 to 15 years. I don't have the data with me, but it's certainly probably 80%, 70% higher today than it was 10, 15 years ago. So we have changed our model over time, and we have embraced technology. And we are running a tighter boats, and we are taking advantage of technology. So I do see the future to not be significantly different. We are going to continue to change. We are going to continue to embrace what's coming to us as an opportunity, not as a roadblock. And I'm highly confident that we are going to be -- we're going to continue between, as I just mentioned, our main platform, the GCC, the technology and AI to do more with less. Second point, and that may not be known by all of our investors and analysts, more than 60% of our work is fixed price. And for as long as you've known me, I've said we prefer fixed price. I preferred fixed price 10 years ago. I prefer fixed price 5 years ago. and I still prefer fixed price because it's an opportunity for us to provide more value for clients. Although there is place for time and material and there's a need for cost plus and time material in our space, this is not where you can create and innovate. And we see that as a true opportunity. So -- and we have seen fixed price going up over the last 10 years, not going down. Clients more and more are not looking for price. And remember that oftentimes, 80% of our qualification criteria are qualification-based or not price-based. So more and more, our clients are looking for a solution, are looking for an end product rather than a price. So we believe that this is going in the right direction. And if you ask me, I believe that it's just going to continue to evolve in that direction. So in that regard, I think this is not a revolution. This is evolution. And I think we're tracking extremely well. And our clients are looking for solution -- innovative solutions. So I expect to see fixed price going up as we progress in time. Anything else, Chadi, you want to add?
Chadi Habib: Yes. Just to reinforce the impact of digital and AI with our clients, what we're actually seeing, think about a scenario where we're doing master planning or scenario planning for the client before we would do 5, 10 scenarios and optimize across that. Now with the technology we're leveraging, we're doing -- clients are asking us to do more scenarios, 1,000 scenarios. You have better impact on the run cost of the assets. You have better impact on optimizing the rest of the life cycle. So the reason we see in our digital posture, double-digit growth is because of these new tools and progressive clients, they're asking for more work to navigate the challenges that they have. So we're seeing a trend where it's driving more effort from our teams.
Alexandre L'Heureux: I think the very important point that we all need to -- when we leave the call that we need to remember is this perception that people are not -- because we have not access to more technology that our clients are not asking more. What's happening right now, as Chadi just mentioned, is 10 years ago, with no technology, engineers were in a position for a certain price to do 4 or 5 scenario analysis. Today, for the same price, we can do more work and provide more efficient design and a better service. So they're not asking us to do less work at a lower price. What's happening right now is they want more. They want more data. They want more output. They want more stress test analysis. They want more scenario analysis. So I think what's happening is with the arrival of technology, and that has been happening for the last 20 years, we are in a position to provide better design but our clients are looking for more output, not less in that regard.
Ian Gillies: That's very helpful. And maybe another question along different lines. The engineers you're hiring today maybe managers in 5 years' time or managing projects, larger projects 10 years down the road. And how do you manage the risk of making sure you're hiring enough people, embracing AI and balancing those things out? Because it feels like that's probably one of the more serious challenges in implementing all these items because people are a key part of your business.
Alain Michaud: Thank you, Chadi (sic) [ Ian ]. Yes. So in the second posture of our digital posture is to make sure, internally, we equip our frontline. This is why I mentioned we have one of the largest deployments in our industry to get into the hands, both of our front line, and you hit a really good point, by the way. Leadership is as important as the front line, equipping them with what these tools can do. And by the way, it's changing extremely fast and keeping them up so that it puts them in the driver's seat on how they impact the future. We can't predict all the unknowns of all the industry evolution around this. But what our posture in terms of frontline professionals and leaders is put it in their hands, get them to innovate, and we're seeing some really exciting stuff with clients. And to continue to invest, so we stay in the driver's seat rather than having to react to these evolutions. So that's our current posture in terms of making sure our folks are there. The second thing I would tell you is we also have a lot of people moving into their well-earned retirement. Alex talked about this last year. We're building our own proprietary models that -- and this is another advantage of this technology. It allows us to take the brilliance of somebody who did a design in Toronto and spread it across the company within hours rather than historically, we would have had to have forums and meetings where they interact together. So I'll give you those two areas where we're leveraging AI to multiply our impact.
Ian Gillies: And I must say this has been a nice break from asking about M&A every other question.
Operator: Next question today is from Benoit Poirier from Desjardins.
Benoit Poirier: Thanks, Alex and Chadi for the very thoughtful discussion on AI. Maybe the question for Alain. When we look at the free cash flow performance in Q4, very solid, driven by record low DSO pushing down leverage to 1.4x. So just looking at 2026, assuming DSO returns to the midpoint of your guidance, would it be fair to assume that free cash flow conversion would still be above 100%? And it looks like that you could be in a position to finish 2026 with a leverage more at the midpoint of the guidance of 1.2x, which could still open the door for M&A if conditions, permits. So just want to understand a little bit more about the potential leverage and free cash flow for 2026.
Alain Michaud: That's a neat way to get to M&A, Benoit. Just to clarify, the -- our leverage pro forma now 2.3x, absolutely right with our deleveraging profile. We don't anticipate to decline. We're still targeting far beyond the 100% conversion target. We should be in the range of 1.6x, 1.7x by year-end next year. So the ambitions remain as solid as what we've done this year. ERP is helping us. I remind you, there's a couple of conversions this year, but things are pointing -- all pointing out in the right direction to deliver strong free cash flow still in '26.
Benoit Poirier: Perfect. That's my only one and congrats.
Operator: Next question today is from Maxim Sytchev, NBCM.
Maxim Sytchev: Alex, just continuing on sort of the AI topic. I mean some of your service providers obviously work in a fully digital environment. And I'm wondering how you think about some of the potential cost-saving opportunity from your side when you're interfacing with service providers who deal on kind of like on a per seat basis. I'm wondering if you have any thoughts there.
Alexandre L'Heureux: Just to clarify, Max, I mean, provider providing services to us?
Maxim Sytchev: Yes, software providers because, I mean, I assume, obviously, you pay quite a bit in terms of the outlays for their services. And again, like if AI sort of gets better from your own sort of modeling perspective, I mean, how much need is required for some of the kind of the legacy software providers if there's an opportunity to extract certain concessions over time, which would be beneficial from a margin perspective.
Alexandre L'Heureux: Chadi, you're leading the way on that front. So maybe you have a view on this.
Chadi Habib: Yes. Let me kick it off in a couple of areas. First of all, there are sort of providers that are key to delivering the end services. So think about our modeling partners, think about our partners that help us deliver those work products. And we constantly co-innovate with them to figure out how to solve for some of those solutions. There are then more back-office partners, and maybe that's what you're alluding to, where we are seeing massive simplification. We're investing to automate, putting our platform that Alain mentioned in place, harmonizing the way we grab our domain data and protect it allows us to shed some of the costs that previously would have been necessary. Today, we can optimize and automate some of those things internally. And that will happen as we continue to optimize our functions, and there are several programs that are in play today to do that. And as we do that, if there are some software providers or providers that are giving us some services today that are not necessary, we work with them to optimize that cost structure. And that's an ongoing process, by the way, well before AI and post AI.
Alain Michaud: And if you recall, Max, when we unveiled our strategy, we talked about the different levers that we have to improve our efficiency and levers we have now in front of us with the ERP with AI coming in more tools, definitely to keep optimizing the back office to deliver better efficiency and simplify the life of our frontline people as well.
Maxim Sytchev: Okay. Makes sense. And then one sort of fundamental question. I think IIJA money has to be allocated by September, October time frame. Just wondering if you think actually most of that capital is going to be -- actually going out of the door and any impediments to that potentially not happening and how that could impact kind of 2027, 2028 run rates in the U.S. Any color would be helpful.
Alain Michaud: Yes. What we hear, there's more to come on that, Max, but you're right, IIJA expires third quarter of '26. But the Congress and the administration is working hard now on what's called the next surface transportation reauthorization. And what we're hearing through the grapevines there is -- there's lots of focus on the back-to-basic infrastructure program, transportation, public safety, public transit safety and the like. So it doesn't feel like less investment, but certainly more focused investment in more of the basic transportation space, which, frankly, is right in the middle of the alley for us. So more to come, but it feels like there's going to be continuation of investment as we read it right now.
Operator: Next question is from Michael Tupholme from TD Cowen.
Michael Tupholme: I didn't want to just sort of pivot back to M&A, but in a different fashion than perhaps we're used to talking about it. The question ties into the AI discussion that you provided Alex and Chadi. So I'm just wondering if you can talk about how, if at all, accelerating adoption and use of AI in the engineering services industry may affect WP's M&A strategy and the types of targets you're interested in.
Alexandre L'Heureux: Look, it's a very good question. 10 years ago, I was not talking about our digital posture. I was not talking about our digital sector as a P&L. We've done that 2 years ago. And as Chadi expressed and can talk about, we are right now growing at double digit in our digital P&L, our digital sector. I think the way I would characterize what the question that you asked, Michael, and the way I would answer it is as part of my review of potential targets now and as we're entering due diligence, and TRC is a perfect example of that, we are paying way more greater attention to the complementary fit of the target digital offering. I'll give you an example, TRC, which we announced 2 days ago. During due diligence, we spent an enormous amount of time talking about their digital posture, their digital strategy, their digital offering. Today, if I look at the TRC business, they probably have USD 150 million of digital offering in the power space, so intelligence grid solution that Chadi can talk about as an example of that. Well, it's $150 million out of $1.2 billion. So you may say, well, it's only 10% or a bit more than 10%, but we spent an enormous amount of time with the leaders there to see how we can double-digit grow that business. And with our network and the fact that we have a network around the world, how can we leverage this in Australia, in New Zealand and elsewhere. And I can tell you that we're super excited about that. Do you want just to briefly talk about it?
Chadi Habib: Yes, I'll just add a couple of things. Again, if you consider Power & Energy, mission-critical, the growth, our digital offerings and the criteria we look at from an M&A point of view, I just want to make sure I come back to this notion, domain expertise at scale is the differentiator. I'm going to say something controversial. The AI models are getting actually commoditized. If you listen to any of their webcast in the recent months, they're all talking about how we integrate domain expertise. We actually get more calls because of our domain expertise in order to create value. These models need that domain expertise. So if we look at the criteria of M&A going forward and what's exciting about what comes with TRC or what came in power is these folks don't master technology, just technology. They master technology in the context of transmission, distribution, generation, renewable energy, and that's where we think we drive massive value to clients.
Alexandre L'Heureux: And again, to reinforce the point, Michael, technology player coming in the power sector with no domain expertise or the Big 4 coming in or the major IT consulting firm coming in the power sector with not having the domain expertise, they're missing 75% of the solution. So again, to reinforce Chadi's point, we are getting more calls from technology players than we are making calls. to support them because they don't have what we have and the proprietary knowledge that we have in the power sector, for example. So we honestly see this as a tremendous opportunity in the years to come for WSP. Revenue streams that 5 years ago did not exist for us. So it's a very, very exciting time, and that's why I talked about euphoria and hysteria. We need to be balanced here and compose and let us prove the point to you.
Operator: We'll now take the next question. This is from Jonathan Goldman from Scotiabank.
Jonathan Goldman: And Alex, thanks for setting the record straight. But maybe if we can do a diversion to maybe some less topical items. Maybe, Alex, if you could just elaborate on what gives you confidence in the U.S. business that we can see a reacceleration of growth this year. And I was also interested in the -- I think it was 10% increase in win rate. I was wondering if you can talk about what's driving that performance?
Alexandre L'Heureux: I think what gives me high confidence in the U.S. business and frankly, our business globally at the moment is really the proposal activity level that we see. And to my earlier point, though, the win rate, I think we have a very clear strategy right now on client. That has been the focus of our 3-year plan. We spent most of 2025 setting up the business for future success. We have developed a very, very strong global client program and diamond client program where we see the growth on those high-impact clients growing at a faster rate than the rest of our business, and we see this paying off. So -- and also, we're -- we rarely talk about the brand, but the brand that WSP has developed in the U.S. and elsewhere today compared to where it was 5 years ago. I mean, clients are looking to work with WSP. They're looking for domain expertise. And they're looking for professionals to provide the service, number one. What was the second part of your question, I'm sorry?
Jonathan Goldman: I think you addressed both of them, but I do have a second question. Maybe if we switch to capital allocation, Alex, you alluded to kind of the share price at the beginning of the call in your prepared remarks. How does that change your view on capital allocation and whether or not you lean into the buyback more here?
Alexandre L'Heureux: It's not changing my view because you cannot lead 83,000 people firm with a short-term view. We've always had a clear vision of who we want to be and what we don't want to be as a company. I've always had a clear strategy of where I want to take this business forward. And you cannot do this if you have -- you navigate and drive the company with a short-term view. I've always had a long-term view. We've seen the downside, the downturn in oil and gas in 2014, having a huge impact on our stock price at the time. At the beginning of COVID, if my memory is not failing me, our stock price was at $94, it went down to $50 and went back up. We have faith that our investor base understand our business model. I have faith that our Board, our management team and our investors understand where we want to take this business forward. And in the last 2 years, we've deployed $7 billion in the high-growth, high profitability Power & Energy sector. I'd like to think we've been more opportunistic and more strategic than anyone else in our space. And I'm saying that very respectfully and very humbly. I'm just proud of what we've done. And I remember the second part of your question, why I'm so confident about our U.S. business. Well, we've transformed our U.S. business in the last 60 months. 2 years ago, we had 350 people in the Power & Energy sector. Today, 30% of our top line in the U.S. alone and more than 20% of our business globally. I think we have deployed capital in high-growth, high profitability sector, and I don't expect that to change. This week, I spent the week with our leader in mining. We are the largest mining consulting firm in the world. And we really think about the need when we talk about the rise of AI, the need for precious metal for copper and how uniquely positioned WSP is to cope and to service clients to deal with the world needs. So overall, I'm very, very pleased. And I think it would be a mistake to react to short-term views. We know where we're going. We're busy dealing and servicing our clients to deliver a backlog. And I feel that if we do a good job with our clients and we create an exciting time for employees, the stock price will take care of itself. So I don't have right now a desire to change our strategy and our view at this time.
Operator: Next question is from Sabahat Khan from RBC Capital Markets.
Sabahat Khan: Maybe just bringing some of the color sort of together on this sort of topic around customers and how you're engaging with them. Maybe just at a high level, are you able to share some thoughts on when you sort of go into the customers, kind of their -- how is the conversation starting around AI? Is it more you bringing to the table what you can do for them? Is it them asking help with implementation or leveraging AI for projects? Just maybe you can walk through how the conversations at the customer level are going today and sort of the ask that the customers are making.
Alexandre L'Heureux: Our clients, and I think we touched base on that in numerous occasions, Saba, this morning. Our clients are looking for domain expertise and to help them support embedding technology in the assets that we design. They are not the expert. Otherwise, they wouldn't be calling us. They're calling us and say, look, we see all that technology coming to market. How should we be thinking about technology? And how do you believe we should be integrating that technology in the assets that we wish to invest in? And perhaps, Chadi, I can turn to you.
Chadi Habib: Yes. I'll take the opportunity to make it very tangible. So if you think about the physical world coming with the virtual world, nobody knows more about the physical world than we do. And I'm giving you two examples. We are working with a country as we speak today because I think everybody knows this. AI cannot do what it needs to do if the data is not structured, if it's not understood, if the domain expertise and the context of that data is not put in place. So I'll just give you a tangible project. We just worked on client reached out to us, not any other third parties to structure data that touches 150,000 kilometers of road, 35,000 kilometers of track, trails and 5,000 kilometers of rail. Why would they come to us, is because nobody understands that data and the architecture of that data for this entire country from a transportation point of view because before they can leverage AI to predict CapEx investments to optimize their run costs and so on, they need somebody to take that operational data and who masters that data and that context on those physical assets, and how it intertwines with the physical world around it, whether it's satellite information or geotechnical information better than WSP. And that's an active project. I'm giving you that project as an example, before extracting value from these solutions. Clients are coming to us and saying, okay, how do we extract value? We need somebody who knows the physical environment and the designs that have been done. So that's one example. Another example I'll give you tangibly is one of the premier cities in the world, we're working with them to build a truly live digital twin that allows them to make the right investments in the right places to impact the well-being of millions of people. So whereas historically, we do an environmental twin of physical layouts or 2, 3, 5, 100 variables. Today, we're talking about thousands of variables in 14 AI models that will cover things like air quality, that will cover things like water, biodiversity, marine, climate, putting it all together so that -- this specific city not only can manage in the short term, the outcomes, in this case, citizen well-being or optimizing capital investment, but do it over decades. And they're partnering with us because, once again, beyond the tech that underlines it, the understanding of that physical world and domain expertise is critical to them. So I want to just give you 2 examples to make it very tangible, Saba.
Sabahat Khan: Great. And then maybe just sort of revisiting the commentary earlier around the U.S. and the IIJA and potential renewal. I guess just from your vantage point, are you finding particularly in the U.S., a bit more stability relative to last year and sort of these perspectives around either a renewal or some sort of an extension of the infrastructure investment program. Is that sort of based on what you're hearing from the clients either at state level or some of the federal agencies you work with?
Alexandre L'Heureux: Saba, the answer is yes. Absolutely. We feel we're operating in a more stable, more -- may sound strange what I'm going to say, but more predictable environment than perhaps a year ago.
Operator: We'll now take the next question. This is from Chris Murray from ATB Capital Markets.
Chris Murray: And Alex, thanks again for the commentary around AI and the next generation of tools. I guess I want to maybe stay away from AI, and I've got some other questions. More about the guidance, I think, and EBITDA margin. I know it's something we've talked about. But right now, at the midpoint, we're looking at about a 40 basis point improvement. I guess a couple of pieces to this question. I mean if we look at last year, I think, Alain, you noted you really were on track for about 80 basis points year-over-year. 40 basis points seems a little thin. But can you just maybe walk us through any puts and takes that we may see about the high end versus the low end? It feels like between the IT platform, some of the AI tools, what you're seeing in backlog and the mix you would think that, that would be trending higher, but just any thoughts around how to think about the evolution of margin over the next year?
Alain Michaud: Yes. Thank you, Chris. Extremely committed to our 30 to 50 bps a year. So some of the moving parts just to keep in mind, for example, recently completed the acquisition of Ricardo. That's -- they have a much lower margin, and that's a good thing. That's an opportunity for us to bring them to our level. But for '26, it is a 15 to 20 bps drag on our margin guidance. So that's to be taken into consideration. And for TRC, they run at a slightly lower margin than us, and we just closed the transaction. So we will now get into work and look at what we could do together better. So there's potential upside opportunity there. But for now, the 40 bps is what we feel is a realistic guide. But keep in mind the Ricardo drag. And keep in mind also, we've been -- if there's one thing that we're very proud of is you look at our margin track record for the last 3 years, it's beyond 500 basis points. So we will continue to push. You could sleep peacefully on that front. We will continue to push on making margin grow and build more efficiency in the business.
Chris Murray: Okay. That's great. And then just one other question. And again, it's something that we haven't heard a lot of, but it seemed to come out a lot in different regions is resources. Can you just remind us or kind of maybe give us some more color on what you're seeing in the resource industry and the types of work you're doing right now? Is this sort of pre-feasibility study? Is this development work? So any additional color on how the resources business is evolving and what you expect over the next couple of years would be great.
Alexandre L'Heureux: Yes. I just talked briefly about our mining consulting offering. I think we're feeling extremely good about it given the demand that are projected in the years to come. We are seeing and have seen in the U.S., gas, for instance, also increasing. So when we think about mining and resources, we are quite bullish about the future for our sector and for our business internally, but for the industry as a whole.
Operator: Thank you. And there are no further questions at this time. So I will now hand the conference back to the speakers for closing comments. Thank you.
Alexandre L'Heureux: So again, thank you so much for attending the call. I understand that there were a lot of you attending the call. And so we look forward to updating you on the performance of the company over the course of the next 4 quarters. And again, thank you, and I wish you a great day. Bye-bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect.